Operator: Good day, and welcome to the News Corp's Fiscal 2022 Fourth Quarter and Full Year Earnings Conference Call. Today's conference is being recorded. [Operator Instructions]. At this time, I would now like to turn the conference over to Mike Florin, Senior Vice President and Head of Investor Relations. Please go ahead.
Michael Florin: Thank you very much, Sarah. Hello, everyone, and welcome to News Corp's Fiscal Fourth Quarter 2022 Earnings Call. We issued our earnings press release about 30 minutes ago, and it's now posted on our website at newscorp.com.  On the call today are Robert Thomson, Chief Executive; and Susan Panuccio, Chief Financial Officer. We'll open with some prepared remarks, and then we'll be happy to take questions from the investment community.  This call may include certain forward-looking information with respect to News Corp's business and strategy. Actual results could differ materially from what is said. News Corp's Form 10-K and Form 10-Q filings identify risks and uncertainties that could cause actual results to differ and contain cautionary statements regarding forward-looking information.  Additionally, this call will include certain non-GAAP financial measurements such as Total Segment EBITDA, adjusted segment EBITDA and adjusted EPS. The definitions and GAAP to non-GAAP reconciliations of such measures can be found in our earnings release for the applicable periods posted on our website.  With that, I'll pass it over to Robert Thomson for some opening comments.
Robert Thomson: Thank you, Mike. The overuse of superlatives really is unbecoming. But the past quarter and the full year have created so many unprecedented records that reflect well on all of News Corp, and we believe have created a platform for future performance and enduring returns for our investors. These accomplishments, which necessarily demand the use of superlatives, follow intense digital transformation by the businesses and focused acquisitions that we expect will provide increased revenue and healthy profits far into the future.  Profitability for the full year rose 31% to a record $1.67 billion, and that followed a 26% surge in the previous year, which itself was a record. Revenues rose a robust 11% despite incipient economic uncertainty and unfavorable ForEx fluctuations that outweighed the benefit of an extra week. In total, the favorable results were reflected in our reported EPS of $1.05, compared to $0.56 in the prior year.  It is worth noting that we saw enhanced success in each and every business segment last year, and we are confident of our prospects in fiscal 2023. Our core pillars, Dow Jones, Digital Real Estate Services and Book Publishing, all notched record results that exceeded the sterling performance of the previous fiscal year when new benchmarks were set across most of the company. And it's worth noting that our net cash from operating activities was a record $1.35 billion, topping the previous year's record of $1.24 billion. That extra cash has enabled us to return capital to shareholders and to be pointedly poised for opportunistic investments of the kind that have already transformed the Dow Jones business, making it more digital, more premium and more profitable.  The successful journey of our media properties is unlike any in the world, as has been the principal pursuit of change in terms of trade with the big digital players. We believe the profoundly positive commercial and social impact of those changes will be felt for many years to come. None of that would have been possible without a strong corporate culture created by and curated by Rupert and Lachlan Murdoch, the support of an engaged enlightened Board and passionate, committed and creative employees around the world.  So we have a steady balance sheet, potent cash generation, profitable and growing businesses and the resources to take advantage of emerging opportunities. That muscularity was also reflected in the past year by the termination of our shareholder rights plan, or as it is referred to colloquially, the poison pill. Over the past 8 years, our reported revenue has grown by $1.8 billion, even though our advertising revenue, print newspaper dependent as it was, declined by $2.2 billion. That is a $4 billion swing. Over the same period, our total segment EBITDA has more than doubled, and our free cash flow available has increased by over 80%. Dow  Jones has prospered, more than doubling its segment EBITDA to $433 million in just the past 3 years. Our faith in its prospects has been shown by the acquisitions of Investor's Business Daily, OPIS and Base Chemicals, all of which we expect will contribute to revenue and profitability in the years ahead. Meanwhile, Digital Real Estate Services has expanded rapidly from 5% of our revenues in 2014 to 17% in fiscal '22. To be precise, we have seen growth in every quarter of this past year despite the recent increases in interest rates and the home supply challenges. We are confident that digital runway for real estate is long and lucrative.  It is certainly worth recognizing that News Corp's profits have expanded prodigiously compared to 8 years ago, rising from a reported $770 million in total segment EBITDA to nearly $1.7 billion this year. Our teams have made this successful journey despite the upheaval in the advertising market, despite the significant challenges to print media and despite the pandemic. We are more digital, more mobile, more global, acutely cost conscious and astutely tracking trends, in the quest for more revenues, increased profitability and enhanced returns for our investors.  To be specific about the segments, Dow Jones is already seeing the tangible benefits of OPIS and Base Chemicals, which we have rebranded Chemical Market Analytics, or CMA, to the -- These 2 businesses complement each other, and they certainly complement Dow Jones. We were fortunate to acquire them at a favorable price as their sale was required by regulators for approval of the S&P Global-IHS Markit merger. We thank those companies and the regulators for the opportunity bequest to us.  Not only are OPIS and CMA is starting to benefit us financially, but they have contributed to the depth and breadth of Dow Jones' overall expertise in commodities, in traditional fuel sources, in essential chemical products and in renewables and more. The analysis and analytics fit perfectly into our professional information business, where we have seen sustained growth, particularly from risk and compliance, which reported an 18% surge in full year annual revenues, with the fourth quarter seeing another double-digit increase. That means we have reported 28, that is correct, 28 successive quarters of double-digit growth.  Advertising at Dow Jones remained strong in the fourth quarter and was a significant contributor to the segment throughout the year. Total advertising at Dow Jones achieved year-over-year growth of 20% for the full year, the highest on record. Dow Jones also made progress in expanding its high-yielding subscriber base, which rose 9% to almost 4.9 million, including over 4 million digital-only subscribers. As a point of comparison, digital advertising at Dow Jones rose 16% in the most recent quarter, while it shrank, it contracted, it diminished at the New York Times. In what was a resounding performance for News Corp, Dow Jones really is worthy of note. Dow Jones profitability saw 54% in the quarter to $106 million. And as noted earlier, for the year, segment EBITDA was $433 million, up 30%, while revenues rose to over $2 billion, an 18% increase.  The imperative at Dow Jones is to provide a premium service and premium value to a premium audience and is remembering that this is a premium audience at scale, with more than 100 million visitors each month to Dow Jones sites and thousands of the world's largest companies as enterprise clients. Our task, our opportunity is to offer more of the information, the intelligence demanded by discerning professionals. These are fertile fields for the future.  At Digital Real Estate Services, revenues for the full year surged 25% to more than $1.7 billion, while segment EBITDA grew 12% to $574 million as we continue to build brands and products for future success. In Australia, REA continued its expansion into intelligent adjacencies, most notably with the Mortgage Choice acquisition, and residential listing volume improved by 11% in fiscal '22 to the highest level since 2016. We also now have the #1 digital property company in India in terms of audience share with Housing.com expanding its lead in an expanding market. Monthly visitors rose in June by 52% to $15.7 million.  In the U.S., Move, operator of realtor.com, reported revenue growth for the year of 11% while we invested in expanding our expertise in rentals and acquired uplist, an agent marketplace that focuses on monetizing seller leads. The broader thing is that we see a confluence of trends in the U.S. and Australian marketplaces. The U.S. market has traditionally derived revenue from buyer leads, but the future will bring opportunity to harvest seller revenue, which is the basis for REA's emphatic success in Australia.  As for the U.S. housing market, obviously, the hiking of interest rates has influenced market trends. For example, mortgage refinancing has imploded, which plays to our strength as a source of mortgage origination leads, which mortgage companies were ignoring somewhat because it was easier to refinance an existing an own customer. The rate of price increases that put homes out of reach is generally expected to continue to decline, and inventories have at last started to improve, with active inventory in June up 19% year-over-year according to Realtor.com. News Media, which in recent years has faced severe challenges, did particularly well, both in Q4 and throughout the fiscal year. To be precise, News Media was the single largest contributor to profit improvement across the company this fiscal year. Let's be candid. This spectacular result came as many other newspaper companies around the world struggled and is a true tribute to the efforts of our executives and teams in Australia, the U.K. and the U.S.  In fiscal 2022, revenues were up 10%, and the segment delivered $217 million of segment EBITDA, expanding 317% year-over-year. I should repeat that stunning number for clarity, 317%. At News UK, the Sun reported a historic shift with digital advertising outpacing print in fiscal '22 and as its online audience surged 33% in Q4 to 165 million monthly average uniques globally, including 173% growth for the sun.com, driven by the successful launch of the Sun U.S. Overall, News UK, thanks to Rebecca Brooks and her team, increased its profit contribution by $54 million.  News Corp Australia under Michael Miller and his team increased its profit contribution by $109 million, its highest since separation, as digital subscribers to News Corp Australia properties rose by 12% to $964,000, and advertising revenues remain robust. The New York Post posted a historic result. It formally reported a profit, possibly the first since Alexander Hamilton founded the paper, and we are now on a pathway to increasing profit contribution. The Post has distinguished itself with brave journalism that has seen it so far above the media mediocrity. That is a tribute to the intrepid editor, Keith Paul, his journalists and to Sean Giancola, the Chief Executive, and all on the team. We also transitioned from the Bronx printing site and are working towards completion of that facility sale.  At Subscription Video Services, the Foxtel Group's renaissance continued with adjusted revenues, which excludes currency impact, rising 4% in the fourth quarter, while adjusted segment EBITDA rose 32% in the fourth quarter. And importantly, excluding currency, full year revenues for the segment rose for the first time in 5 years. Again, the Foxtel Group is a company transformed and one generating record metrics. Total streaming subscribers at the end of the fiscal year soared 31% from a year ago to $2.8 million, while broadcast churn fell to 13.8% in the fourth quarter, sharply lower than the prior year.  Our sports streaming service, Kayo, is particularly successful with ARPU rising partially attributable to the recent price increase and given the quality of our teams, productions and the quantity of quality sports. HarperCollins grew full year revenue and segment EBITDA despite higher freight and manufacturing costs and a challenging prior year comparison given that the pandemic created a captive audience and record revenues in many countries. We can clearly see the virtue of acquiring Houghton Mifflin Harcourt Books & Media as the value of that price list back list is being realized. That efficacy should be obvious in coming months as HMH includes the U.S. rights to the Lord of the Rings collection, and we have seen increased orders ahead of the Rings of Power series on Amazon Prime, scheduled to be launched next month.  Speaking of superlatives, we have the best-selling book in the U.S. with the new Daniel Silver novel, Portrait of an Unknown Woman, and we are pleased by the lingering melody of Where the crawdads Sing, the first movie that was just released in partnership with our friends at Sony Pictures.  The News Corporation of 9 years ago is not the News Corporation of now. The provenance and the principle endure, but the business is fundamentally transformed. It is vastly more profitable and with the potential for even greater growth. Our teams are rightly proud of the way they have influenced the digital landscape, changing the terms of trade for media businesses, bringing clarity to an opaque advertising market and increasing transparency to hit the 2 uncountable algorithms.  The commercial changes are integral to our ongoing success, but the social consequences are also profound and enduring. Almost a decade after our reincarnation, thanks to the efforts of our employees and the faith of our investors, News Corp is set fair for the future.  Our CFO, Susan Panuccio, will now provide a concise account of what has transpired and a glimpse of the shining light that is the future.
Susan Panuccio: Thank you, Robert. Fiscal 2022 was another record year for News Corp. We have taken significant steps over the years to reshape and strengthen the portfolio, reduce fixed costs, transition to become more digital and generate incremental high-margin revenues. I will come back to some thoughts about our fiscal 2023 outlook. But suffice to say that News Corp is well positioned as we move into fiscal 2023, given the strength of our asset mix and balance sheet and the continued diversification of our revenue base.  Fiscal 2022 fourth quarter total revenues were almost $2.7 billion, up 7%. The fourth quarter includes an extra week, which positively impacted revenues by $110 million. That impact was more than offset by foreign exchange headwinds of $139 million. Excluding the impact of foreign currency fluctuations, acquisitions and divestitures, fourth Quarter adjusted revenues grew 9% compared to the prior year, including the extra week. Total segment EBITDA was $315 million, up 50% versus the prior year, primarily due to higher overall revenues and lower costs in the Other segment, partially offset by higher costs from recent acquisitions and the negative impact from foreign currency fluctuations. The current quarter results include a onetime $20 million legal settlement charge for Insignia.  Adjusted EBITDA grew a healthy 34% versus the prior period. For the quarter, we reported earnings per share of $0.19 compared to a loss of $0.02 in the prior year. Adjusted earnings per share was $0.37 in the quarter, compared to $0.16 in the prior year. Our free cash flow generation remains strong and remains a key area of focus.  Moving on to the results for the individual reporting segment for the fourth quarter, starting with Digital Real Estate Services. Segment revenues were $443 million, an increase of 7%, compared to 74% revenue growth in the prior year. The results include a negative impact of $22 million from a valuation adjustment of future trail commissions at REA's financial services business and a negative impact of $20 million or 5% from foreign currency fluctuations, partially offset by the $21 million contribution from Mortgage Choice and the benefit from the extra week, which added $14 million to Move's revenues. On an adjusted basis, segment revenues increased 7%, which does not exclude the benefit from the extra week. Segment EBITDA declined 11% to $121 million, driven by the $14 million negative impact at REA related to the revaluation of trail commissions and an $8 million or 6% negative impact related to currency headwinds as well as higher employee costs at both REA and Move. Adjusted segment EBITDA declined 1%.  Move's revenues were $193 million, up 4% following 68% growth in the prior year. For the quarter, real estate revenues grew 3% and accounted for 84% of total revenues. Price optimization within the core lead gen business, higher penetration of our hybrid offering market VIP and continued home price appreciation, coupled with higher advertising revenues, helped to offset the impact from lower lead volumes and transaction volumes. Move's revenues also benefited by $40 million from the extra week. Referral offerings accounted for approximately 31% of total revenues, up from 30% last year. Based on our internal metrics, Realtor's average monthly unique users were $93 million in the fourth quarter. Lead volumes in the quarter fell 39% compared to the prior year, impacted by continued lack of supply and home price appreciation as well as the recent rising mortgage rates. Home prices remain high, growing in mid-teens in June, underscoring the continued supply and demand imbalance.  During the quarter, Move acquired Up Nest advancing realtor seller and listing agent strategy and continue to make investments in rentals and new homes as they build out those adjacencies. In the last 2 years, Realtor's focus was not only to take advantage of the strong market dynamics during the pandemic, but also to position itself for long-term growth while focusing on core competencies and improving the product to deliver deeper and richer information for consumers and customers. This is evidenced by the shift to the data-rich referral base model with the integration of Opcity, which enabled the launch and expansion of Market VIP, the hybrid product, and sell a marketplace to allow customers to explore seller leads without risking own capital to enter buying. These investments, together with the UpNest acquisition have allowed us to expand our scale compared to 2 years ago and capture other elements of the transaction life cycle.  REA had another strong quarter, with revenues rising 10% year-on-year on a reported basis to $250 million as growth in residential depth revenues and the contribution from the Mortgage Choice acquisition more than offset the negative impacts from currency fluctuations and the revaluation of trail commissions. REA continued to benefit from the favorable market backdrop, which saw Australian residential new buy listings rise 2% despite comparing against 54% growth in listing volumes in the prior year and expected uncertainty around the federal election in May. Please refer to REA's earnings release and their conference call following this call for more detail.  Turning to the Subscription Video Services segment. Revenues for the quarter were $524 million, sequentially higher than the third quarter and down approximately 3% compared to the prior year on a reported basis due to foreign currency headwinds. Importantly, on an adjusted basis, revenues rose 4%, accelerating from the prior quarter rate of 1%. Streaming revenues accounted for 23% of circulation and subscription revenues versus 16% in the prior year and more than offset broadcast revenue decline this quarter. We believe this is a key inflection point for the business and has helped underpin the recent stability in Foxtel Group's revenue. Total closing paid subscribers across the Foxtel Group reached over 4.4 million at quarter end, up 13% year-over-year. Total subscribers, including trial has reached over $4.5 million. Total paid streaming subscribers reached 2.7 million, increasing 34% versus the prior year and adding 114,000 sequentially, with streaming subscribers now representing 61% of Foxtel's total paid subscriber base.  Kayo benefited from strong winter sports content, very high retention from the initial repricing of the legacy Live Pass customers and the successful implementation of the price rise in May. Kayo paying subscribers reached almost 1.3 million, up nearly 23% year-over-year. Binge paying subscribers grew 63% year-over-year to 1.2 million subscribers, which is relatively stable with the third quarter as net adds were impacted by the timing of content availability and the record adds in the third quarter. In July, we announced a AUD 2 price rise for Binge standard offering. Foxtel ended the quarter with approximately 1.5 million residential broadcast subscribers, down 10% year-over-year, with the rate of decline modestly improving from the third quarter rate. Foxtel continues to focus on managing broadcast churn, which reduced by over 3 percentage points year-over-year in the quarter to 13.8%, even though cable customers are being actively migrated to the iQ5. This reflects 11 consecutive months of year-over-year churn reduction. The focus on retaining high-value subscribers for broadcast ARPU steadily rise by 2% to AUD 83 segment EBITDA in the quarter of $81 million rose 23% versus the prior year and 32% on an adjusted basis. Foxtel continues to exhibit healthy cash generation and use existing facilities to pay its AUD 306 million of July USPP maturities.  For the full year, the business showed stability in revenue and segment EBITDA. And as Robert mentioned, full year adjusted revenues improved for the first time in 5 years, which is a great result for the business given the challenges of recent years. As expected, total costs were relatively stable in local currency.  Moving on to Dow Jones. Dow Jones continued its strong performance in the fourth quarter with revenues of $565 million, up 26% compared to the prior year, with digital revenues accounting for 76% of total revenues this quarter, up 4 percentage points from last year. Results include a full quarter from the OPIS acquisition and 1 month from the Chemical Market Analytics acquisition, which closed in early June. On an adjusted basis, revenues rose an impressive 16%, with the extra week contributing $40 million.  Circulation revenues grew 17%, reflecting an additional $17 million for the extra week as well as strong volume gains in digital-only subscriptions. Total Dow Jones digital-only subscriptions were over 4 million, up 14%, including 88,000 net adds in the fourth quarter. Professional information business revenues rose 47% and accounted for 32% of segment revenues, driven by recent acquisitions and growth across all product lines, partly due to $14 million of additional revenues from the extra week. We are focused on further expansion of PIB, which was significantly enhanced with the acquisitions of OPIS and CMA. These acquisitions continue to move Dow Jones to a more recurring and digital revenue base with very high retention rates, strong margins, premium products and optionality into new market verticals. While we don't break out margins specifically for PIB, it is fair to assume that the products in the business have attractive margins, which we expect to be enhanced by our recent acquisitions.  Revenue from Risk & Compliance increased 19%, driven by higher sales activity, including strong growth across all regions, most notably in Europe, and we have a very strong pipeline of new business activity. OPIS generated $37 million of revenues in the quarter, with the business benefiting from price rises, high customer retention and strong demand in existing verticals. CMA contributed approximately $6 million of revenues in the quarter. Advertising revenues grew 13% to $116 million despite lapping 45% growth in the prior year. The extra week contributed $9 million to revenue. Digital advertising revenues rose 16% in the quarter despite facing a record 53% growth comparable from the prior year. Digital accounted for 58% of total advertising revenues, which improved 2 percentage points from last year. We continue to see very strong yield improvement and full strength in the B2B, B2C and finance categories this quarter. It is also noteworthy that the vast majority of our digital advertising comes from direct sales rather than via third-party programmatic exchanges, which has been helpful to our yield improvement. Print advertising rose 9%.  Dow Jones segment EBITDA for the quarter rose 54% to $106 million. Excluding the contribution from the acquisitions, currency fluctuations and other items disclosed in the release, adjusted segment EBITDA for the quarter rose an impressive 30% despite higher employee costs and higher sales and marketing costs. At Book Publishing, HarperCollins posted 4% revenue growth to $513 million and segment EBITDA declined 2% to $47 million as we continue to navigate supply chain and inflationary pressures as communicated during the fiscal year. To that effect, margins were down slightly from the prior year. We saw revenue growth driven by a strong front list performance in general books and a $20 million benefit from the extra week. Our backlist contributed 56% of revenues, down slightly from last year, impacted by lower sales of the Bridgerton series compared to last year. Digital sales rose 9% this quarter and accounted for 24% of consumer sales. On an adjusted basis, revenues rose 4% and segment EBITDA declined 6%.  Turning to News Media, where the momentum continued in the fourth quarter. Revenues were $629 million, up 6% versus the prior year and included $53 million or 9% of negative impact due to currency headwinds, but more than offset the additional $36 million from the extra week. Adjusted revenues for the segment increased 14% compared to the prior year. We again saw a very strong performance in advertising as well as continued growth in circulation and subscription revenues, which was driven by the contribution from our recent content licensing deals, higher digital subscriptions and cover prices. Digital revenues continued to expand, increasing to 35% of segment revenues from 32%, primarily driven by the strength of digital advertising, which we expect will soon be the largest source of the segment's advertising revenues. Within the segment, revenues at News Corp Australia increased 6% and revenues at News UK were flat as both were materially impacted by currency headwinds. The New York Post also continued to show strong top line growth, up 23%.  Circulation and subscription revenues rose 3%, including double-digit digital subscriber growth across News Australia and the Times and Sunday Times Currency headwinds had a $26 million or 9% negative impact, which more than offset the $19 million benefit from the extra week. Advertising revenues increased 8% compared to the prior year, with strength in digital across all our key mastheads, most notably at The Sun, where digital exceeded print advertising for the third consecutive quarter, benefiting from significantly higher yields and its successful launch in the U.S. Currency negatively impacted advertising revenues by $21 million or 9%, partially offset by the additional $15 million from the extra week. Segment EBITDA of $33 million increased also by that amount, reflecting higher revenues, partially offset by incremental investments of over $20 million related to Talk TV in the U.K., which launched in April, and other digital initiatives. News Corp Australia and News UK contributed $23 million and $16 million, respectively, to the segment EBITDA growth. And the New York Post and Wireless Group were also again positive contributors.  News Corp finishes fiscal 2022 more dependent on recurring and circulation based revenue, less dependent on advertising revenue and with greater cost discipline across the company as a consequence of navigating the past couple of years. As for fiscal 2023, we expect to see an improvement in top line revenue growth, partially driven by the integration of OPIS and CMA, but also by continued digital gains across the company, albeit much will dependent on macro conditions and the volatility of foreign currencies. We expect CapEx to be modestly higher in fiscal 2023 and anticipate strong levels of free cash flow.  For the upcoming quarter, I would like to discuss a few things. We expect cost impacts from continued supply chain and inflationary pressures, together with wage inflation challenges, to continue. We will take necessary action to address those pressures, including pricing adjustments, together with our ongoing focus on cost management. Visibility on advertising remains limited across the businesses, and we continue to expect foreign exchange headwinds given the current spot rate for the Australian dollar and pound sterling compared to the prior year.  Looking at each of our segments at Digital Real Estate Services, Australian residential new buy listings for July rose 7%. Please refer to REA for a more specific outlook commentary. As Robert mentioned, across the industry in the U.S., inventory and active listings improved in June as we begin to cycle into more normalized year-over-year comparisons. We still assume lead volumes at Move will be challenged in the short term, and we'll look to mitigate that through yield optimization, new or enhanced products as well as balancing ongoing investment with cost discipline.  In Subscription Video Services, we remain pleased with the performance of the streaming products and the ongoing focus on broadcast ARPU and churn as we continue to migrate customers from cable. We look forward to the launch of House of the Dragon on Binge later this month, which we will expect will drive an improvement in net subscriber additions, and we continue to expect to see stability in earnings in local currency across the year.  At Dow Jones, we remain focused on the integration of OPIS and CMA. We expect the rate of investment in the first quarter to be higher than the prior year as we continue to invest to drive consumer subscriptions and enhance our PIB offerings. As a reminder, over 75% of Dow Jones revenues are recurring or subscription-based, the majority digital, with a strong margin, and we feel confident of its growth trajectory leading into 2023.  In Book Publishing, supply chain and inflationary pressures continue to persist. We look to capitalize on our global English language rights for J.R.R. Tolkien's work in our back list as we look forward to the release of The Rings of Power on Amazon Prime in early September.  At News Media, we still expect higher content licensing revenue from our platform deals as we implement elements of the broader Google partnership, such as subscribed with Google and also benefit from our expanded Apple relationship. We expect incremental costs in relation to product investments across the businesses, including Talk TV and our other digital initiatives, together with pressure on newsprint prices. As a reminder, we have recently raised cover prices in both the U.K. and Australia this calendar year.  With that, let me hand it over to the operator for Q&A.
Operator: [Operator Instructions]. And we'll take our first question from Entcho Raykovski with Credit Suisse.
Entcho Raykovski: Rob, Susan, it's Entcho here. I've got a question in relation to Move, particularly given those comments you've made around the next conversation. I'm just conscious that Zero have guided to declines in their IMP revenues in the double digits into the September quarter. It sounds like you are more positive given the yield improvements that you've mentioned. I guess, can you expand on whether you're likely to see in your revenue growth into the next quarter, notwithstanding some of the challenges in the macro environment?
Robert Thomson: Entcho, Robert here. Look, the U.S. property market is replete with contradictions. Obviously, mortgage rates have risen. But by historical standards, they are relatively low and have been hovering around 5% in recent days. Obviously, also, there are ways to get lower rates than that in the shorter term. Our price increases have abated in much of the U.S., meaning internal increases, which patently strained affordability. And I mentioned earlier, our active inventory in June was actually up 19% year-on-year. So the more listings, the more opportunities for our teams. And having properties on the market for longer is not a problem, but generally a plus. It really doesn't suit us if a house is sold in 4 minutes or, frankly, takes 4 years, somewhere in between is ideal. So it's a volatile market, certainly, but opportunity abounds.
Operator: Next, we move on to Kane Hannan with Goldman Sachs.
Kane Hannan: Just on the book segment and The Lord of the Rings series, next year. I mean I imagine that's going to drive a pretty strong revenue outcome. Can you talk a bit about how we should think about that from an EBITDA perspective? I suppose if there's any other key titles in the pipeline for next year that we should be thinking about?
Robert Thomson: Kane, obviously, The Lord of the Rings series or the series based on The Lord of the Rings is going to have a profound impact on HarperCollins' performance, and the related publicity will no doubt stimulate sales. We're not in a position to give you an accurate forecast for the future, but it is fair to say it's going to be a significant moment for HarperCollins in coming months.
Susan Panuccio: And I think the only other thing that I could add to that, Kane, is that, obviously, given it's going to be back list, we typically have higher margins on the back list than what we would see in the first year for front list titles.
Operator: Next, we move on to Craig Huber with Huber Research Partners.
Craig Huber: Just a quick comment there. Robert, I've been listening to you for 9 years. I don't think I've ever heard you so excited about your business. Maybe you had a few cups of coffee, but you sounded very excited. Kidding there, but like -- my question for you is costs for you or Susan. As you think across your portfolio, if the environment does get worse here in the coming quarters, do you feel you have a room to take out costs out of your various segments? And I guess, more importantly, do you feel -- are you willing to take out cost investment spending here if the environment gets materially worse across your segments?
Susan Panuccio: I might take that one, Craig. So look, obviously, if our revenue grows, we expect cost to increase given the variable nature of some of our businesses. And we are expecting supply chain and inflationary pressures most notably in manufacturing at HarperCollins and on newsprint prices at the mastheads together with wage inflation. Our business units are so far more in tune with the levers that they can use having successfully navigated the past couple of years. We do have a healthy pipeline of ongoing cost-saving initiatives, which gives us confidence that we can continue to take our cost to help mitigate some of those macro challenges.
Operator: Next, we'll move on to Alan Gould with Loop Capital.
Alan Gould: Robert, I just wondering if you can give us a little more insight on what's happening with these platform deals with Facebook, which supposedly is resisting paying for news going forward. And what the implications would be in Australia, given the recent laws that have been implemented there?
Robert Thomson: Alan, I think it's fair to say we've entered a new Facebook phase. We have a 3-year agreement with Facebook in Australia. But beyond that, we have open discussions with Facebook on the role of professional content in areas from sport video to the Metaverse. Just one brief diversion. To be fair, some of the political pressures on Facebook to sensor content are rather perverse. The definition of disinformation or misinformation is often political and disingenuous. So some sympathy for them in that instance.  But more broadly, look, we set out with a clear aim of redefining the value of news content, and that value surely has been to be defined permanently and positively. And that's definitely to the benefit of journalists and communities around the world. We have extended our significant Apple deal, thanks to Tim Manet, who both firmly believe in news. And our engagement with Google is creative and purposeful, thanks to Sundar and his team. We are, however, still waiting patiently for commission checks from other publishers around the world.
Operator: And we move on to Darren Leung with Macquarie.
Darren Leung: Good performance in Risk & Compliance, 19% growth in the quarter. Can you give us a feel if this is acquisition impact? And if so, what is it excluding the acquisitions, please?
Susan Panuccio: No, there's no acquisitions in Risk & Compliance basically within the period segment, but not Risk & Compliance.
Operator: Next, move on to Brian Han, Morningstar.
Brian Han: So strategic moves that you guys would like to do with REA, but cannot do due to the fact that you don't own 100% of it? And Susan, what is the revenue base of Risk & Compliance and now within Dow Jones?
Robert Thomson: Brian, I think I missed the start of your question, but I presume it was about the structure of digital real estate. Is that right?
Brian Han: Yes. What would you like to do with REA, but you cannot do it because you don't own 100% of it?
Robert Thomson: Look, we're very proud of REA's performance. I would leave it to Owen and the team here to give you specifics. And we're passionate generally about digital property. As you know, there's real cooperation between and among the teams. And we do see a confluence in a broader market trends with more emphasis on providing sell-side solutions in the U.S. market, which is the strengths characteristically the Australian market, where we provide premium solutions for agents. More broadly, for News Corp, we're constantly reviewing the structure of the company. We're institutionally introspective and certainly never complacent self-satisfied or smug.
Susan Panuccio: And Brian, just in relation to the number for Risk & Compliance, the annual revenue was $225 million for '22, 2020, excluding week 53, so 18% growth in the full year, and we had a 19% growth in Q4.
Operator: Next, we'll move on to David Karnovsky with JPMorgan.
John Cardoso: This is actually John on for David. Just touching on the U.S. real estate market again. But given the current cross-currents of a stabilizing market against a weakening macro backdrop, how should we think about the performance of the different product offerings that move, particularly as it relates to some of the more referral-based services versus the more lead-heavy ones?
Robert Thomson: Well, John, the most important aspect for us is listings the number of leads and then our ability through the traditional lead model as well as the referral model to maximize the value of each of those leads. And then as I mentioned earlier on, mortgages, those leads now have more value because the refi market has imploded and the origination market has increased and relatively important. So what we've created with the team at Realtor is an ability to maximize returns on any particular lead. And so that model will be something that provides us robust revenues regardless of a certain amount of volatility, volatility indeed, that may be efficacious for the market.
Susan Panuccio: And John, maybe I can just add to that as well. Given some of the headwinds that we face within the core legion with volumes down, we have had success in driving increased revenue given higher yield. And we've also recently launched the hybrid product, Market VIP, which we're starting to see growth, and that's getting traction as well. So that's helping to mitigate some further headwind.
Robert Thomson: And one further point, John, even ad sales at Realtor.com have become more precise, more focused, taking the advantage of our yield lessons elsewhere in our media properties, and ads were up 11% at Realtor.com last year.
Operator: And we have no further questions. So I would like to turn the conference back over to Mike Florin for any additional closing remarks.
Michael Florin: Great. Thank you, Sara. Thank you all for participating today. Have a great day, and we look forward to speaking with you in the near future. Take care.
Operator: Thank you. And that does conclude today's teleconference. We do appreciate your participation. You may now disconnect.